Operator: Good day everyone and welcome to Steelcase’s Third Quarter Fiscal 2015 Conference Call. As a reminder, today’s call is being recorded. For opening remarks and introductions, I’d like to turn the conference call over to Mr. Raj Mehan, Assistant Treasurer and Director of Investor Relations.
Raj Mehan: Thank you, Amanda. Good morning, everyone. Thank you for joining us for the recap of our third quarter financial results. Here with me today are Jim Keane, our President and Chief Executive Officer; Dave Sylvester, Senior Vice President and Chief Financial Officer; Mark Mossing, Corporate Controller and Chief Accounting Officer; and Terry Lenhardt, Vice President, Finance for the Americas, EMEA and Asia-Pacific. Our third quarter earnings release, which crossed the wires yesterday, is accessible on our Web site. This conference call is being webcast and this webcast is a copyrighted production of Steelcase, Inc. Presentation slides that accompany this webcast are also available on ir.steelcase.com, and a replay of this call will be posted to the site later today. Our discussion today may include references to non-GAAP financial measures and forward-looking statements. Reconciliations to the most comparable GAAP measures and the risks associated with the use of forward-looking statement are included in our earnings release and webcast slides. We are incorporating by reference into this conference call, the text of our Safe Harbor statement, included in yesterday’s release. Following our prepared remarks, we’ll respond to questions from investors and analysts. And with that, out of the way, I’ll like to turn the call over to our President and Chief Executive Officer, Jim Keane.
Jim Keane: Thank you, Raj, and good morning, everyone. We are pleased to report another strong quarter. We are reporting organic revenue growth over the prior year with improvements in adjusted operating margin and cost of sales. EMEA’s revenue growth was substantial at 14%. And this helped us to offset some of the disruption from operational changes during the last two quarters. The Americas segment earned 12% operating income despite revenue being slightly below our expectations. Although Americas orders were in line with expectations, revenues were less than expected because several customers with major projects requested extended delivery dates. These requests typically are triggered by delays in construction schedules, which are impacted by labor shortages in certain markets in the U.S. Regarding EMEA, our teams made very good progress this quarter in our ongoing restructuring efforts. We are very pleased that we’re able to complete the transfer of our factory in Wisches, France to a third-party that is employing our former employees from that factory. This location is currently acting as a supplier to Steelcase, and so we can move our production from this plant to other facilities in our EMEA manufacturing network. Our customer service levels have returned to normal in EMEA and our new plant in the Czech Republic has begun production. We will continue to experience some extra costs from redundancy and inefficiency over the next year as we shift production to the receiving factories and pay some negotiated labor premiums. The economic benefits of these restructuring actions will be more fully realized beginning in the second half of next fiscal year. We are continuing to make smart investments around customer experiences in the APAC region. For example, our leadership team was in Shanghai last month for the opening of our refreshed WorkLife Center there. In Mumbai, we opened a similar space that helps us demonstrate our insights about work. One of the keys to being a successful global company is telling a consistent brand story around the world. And these work life centers are a major element in that strategy. Even accounting for local variations in office culture and real estate utilization, the major themes and insights are resonating everywhere we go. As we look to the future, we acknowledge there is a lot of economic uncertainty in global markets, which limits longer term visibility. There are also important local factors in every market that affect our profitability. For example, in the U.S., I mentioned the tightening construction labor force. But we also see limited capacity in the trucking industry, which is causing freight costs to reduce only gradually even as oil prices fall quickly. We believe there is sure footing around the more traditional drivers of growth around job creation and the competition for talent. And we believe we maintain a significant advantage through our insights about the ways that’s basically can impact productivity, retention and engagement. Our brand continues to grow stronger and more consistent around the world. Ultimately these are the factors that help us improve our relevance to our customers, even in an uncertain world. One last thing I’d like to mention that goes beyond the financial results. The Environmental Protection Agency awarded Steelcase a Green Power Leadership Award, given the companies have significantly advanced the development of Green Power sources. And our Company received the perfect score of 100 on the 2015 corporate equality index. You can read more about our position on these issues and many others in our newly released corporate social responsibility report. I’m very proud of the Steelcase employees and accomplishments featured in that report. Now, I’ll turn it over to Dave Sylvester.
Dave Sylvester: Thank you, Jim. I’ll start with few high level comments about the third quarter results and balance sheet, provide some additional color commentary around our order patterns and outlook for the fourth quarter and then we’ll move to your questions. As Jim mentioned, we feel good about our financial results for the third quarter. We accomplished a 7% adjusted operating income margin despite approximately $9 million of disruption and inefficiencies associated with our manufacturing footprint changes in EMEA. We continue to anticipate these changes will result in approximately $20 million of annualized savings once fully implemented by the end of the third quarter of fiscal 2016. And we believe we’re well on our way to reducing the disruption and achieving these savings. During the third quarter, we initiated the movement of production from Durlangen, in Germany to the new plant in the Czech Republic, which we expect to continue over the next 3 to 4 quarters. And we also completed the transfer of the Wisches, France facility to a third-party who will now serve as a contract manufacturer for us while we move production to other Steelcase facilities over the next three quarters. We also believe we are continuing to gain market share in the U.S., despite our sales this quarter finishing down slightly, compared to the prior year and ending the run of 18 consecutive quarters of organic revenue growth in the Americas. While revenue declined by less than 1% in the Americas, order growth was consistent with our expectations. Therefore, customer order backlog in the Americas increased 8% compared to the prior year. As it relates to our actual results versus our expectations, adjusted earnings exceeded the high-end of our guidance for the third quarter, despite revenue coming in below the low end of the estimated range, we communicated in September. Net favorable tax items played a role as did favorable cost of sales as a percentage of revenue, and lower variable compensation compared to our expectations. I'll talk about the tax items in a few minutes, but first let me cover the other two items and our revenue performance in the quarter. The better than expected cost of sales was driven by a favorable mix of business, including the delay of a portion of the large government project in EMEA that move to the fourth quarter. Better than expected freight and delivery costs albeit these costs remained higher than the prior year. Lower inflation and miscellaneous adjustments to various reserves and accrued liabilities, all of which we are individually insignificant, but netted to a small favorable impact. Regarding variable compensation, lower-than-expected expense was driven by the impacts of higher restructuring costs and changes in estimates within the calculations offset in part by higher expenses associated with the favorable tax items in the quarter. Regarding revenue compared to our expectations, we had a modest organic decline in the Americas, compared to modest growth expectations. We believe the shortfall was driven by timing of requested shipment dates associated with project business as total order growth in the third quarter was in line with our expectations. As a result, backlog going into the fourth quarter stood at the highest level since the financial crisis. For EMEA, the 14% organic growth was slightly better than expected. The impact of disruption from our restructuring activities and order patterns and shipments was less than expected, which more than offset the delay of a portion of a large government project that move to the fourth quarter. Remember, customer order backlog in EMEA at the start of the third quarter was more than 30% higher than the prior year due to the fact that second quarter order patterns included a significant number of requests for shipment dates in the third quarter. And it also included the large government project, which was ordered at the end of last year and in the first quarter of this fiscal year. Revenue in the other categories grew by 8% organically with PolyVision, Designtex, and Asia Pacific each contributing to the growth. But sales for each business also came in a little short of our expectations. Shifting to year-over-year comparisons, adjusted operating income of $56.1 million in the quarter was approximately $2 million higher than last year. Operating leverage from the revenue growth in EMEA and the other category and benefits of improved pricing and favorable business mix in the Americas, where, partially offset by disruption in inefficiencies associated with manufacturing footprint changes in EMEA. Specific to the Americas, cost of sales as a percentage of revenue was 160 basis points lower than the prior year, which reflects continued improvement compared to the flat year-over-year results in the second quarter and the 70 basis point year-over-year increase in the first quarter. Improved pricing net of inflation, continued cost reduction efforts and a favorable shift in business mix were the biggest drivers of the year-over-year improvement. We also realized sequential improvements in our freight and distribution and warranty costs compared to earlier in the year. The cost of sales improvement was offset by higher operating expenses, which included a biennial sales and dealer conference, an increase in the allowance for doubtful accounts and increased spending on sales and other growth initiatives. Turning to EMEA, I’d like to reiterate that the adjusted operating loss of $3.7 million in the quarter included approximately $9 million of disruption and inefficiencies associated with the manufacturing footprint changes, which target $20 million of annualized savings once fully implemented. Adjusted for the disruption costs and factoring in a quarter of the targeted annualized savings, adjusted operating results on a pro forma basis would have been positive for the third quarter. A lot has to happen for us to fully eliminate the disruption and realize the targeted savings, but I wanted to recognize the hard work of our people in EMEA as we’re beginning to see the light at the end of the tunnel. Restructuring costs in the quarter were much higher than the estimate we provided in September. We did not include in our estimate any significant costs associated with the transfer of the French manufacturing facility to a third-party as completion of this project was subject to consultation with our workers councils and applicable legal requirements, which ultimately occurred earlier than expected. Income tax in the current quarter included a $5.5 million benefit from income tax credits associated with the manufacturing footprint changes in EMEA, net of $1.2 million of other discrete tax charges and $2.3 million associated with recording a higher year-to-date effective tax rate of approximately 44% versus the 42%. We had booked in the first half of the fiscal year. The income tax credits were negotiated with local authorities in connection with our investment in the new manufacturing facility in the Czech Republic and these credits will offset future tax abilities of the related legal entity. Additional credits totaling $3 million could be earned in future quarters dependent on the level of additional capital investment placed in service at the facility. For the fourth quarter, we expect to record a 44% effective tax rate less net discrete tax benefits of approximately $800,000 including benefits associated with retroactive reinstatement of the U.S research credit net of other items. Moving to the balance sheet and cash flow, our $24 million of cash generated from operating activities during the third quarter was reduced by the $27 million facilitation payment associated with the transfer of our operations in Wisches, France. As well as $18 million of estimated tax payments in the U.S which we are $13 million higher than the prior year due to higher U.S income and lower utilization of foreign tax credits in the current year. The increase in working capital since the end of fiscal 2014 is being driven primarily by seasonality and a large government project in EMEA, which was manufactured during the first half of this year and for which we began recognizing revenue in the third quarter. Capital expenditures totaled $25 million and were related to the new plant in the Czech Republic, manufacturing investments and new product introductions. We continue to expect capital expenditures to approximate $90 million to $100 million for the full fiscal year as we complete the construction of the new facility in EMEA continue to upgrade various manufacturing technologies and invest in a number of customer facing initiatives including showrooms and e-business platforms. We returned approximately $14 million to shareholders in the quarter, $13 million through the payment of cash dividend of $0.105 per share and $1 million through repurchasing shares to satisfy participants’ tax withholding obligations upon the vesting of restricted stock unit grants. Turning to order patterns, I’ll start with the Americas, where our orders in the third quarter grew 3% compared to the prior year. As I’ve said in the release, the rate of order growth in the Americas was dampened by the timing of the Thanksgiving holiday in U.S, and a few large projects in the prior year. Taking these factors in to consideration, we were pleased with the quality of order growth in the third quarter, especially in small to medium-sized project business, which continue to show strength. Customer order backlog for the Americas ended the quarter were up approximately 8% compared to last year. Across quote types, we experienced double-digit percentage growth in orders related to Project business and low to mid single-digit declines from continuing agreements, and our marketing programs aimed at small, our day-to-day business. Regarding Project business, the growth in orders was driven by many small to mid-sized or more typical projects again this quarter. We remain less dependent upon a few very large projects as was more the case in the prior year. With respect to vertical markets in the Americas, we experienced order growth in the energy, technical, professional, financial services, information technology, insurance services and healthcare sectors. While manufacturing federal government, education and state and local government declined against the prior year. Overall, incoming orders remained well diversified with nine different vertical markets receiving orders of at least $25 million in the quarter. Switching to EMEA, orders and constant currency grew modestly in total, compared to the prior year. We experienced order growth in the Middle East, France, the central, eastern and southern parts of Europe as a group and the United Kingdom. While Germany, Africa, Benelux, and Iberia declined. The order decline in Germany was largely driven by a large project in the prior year, but we also believe orders were impacted by customer disruption associated with our restructuring activities which has since reduced. While the 14% -- with the 14% organic revenue growth in the quarter and orders only growing modestly, customer order backlog for EMEA ended the quarter down compared to the prior year. Within the other category, order growth was strongest at Designtex, while PolyVision was flat and Asia Pacific declined modestly. To summarize, our order patterns in Americas continue to reflect solid growth in project business, which was driven by small to medium-size business again this quarter and we believe we continue to gain market share in the U.S. EMEA order patterns remain choppy, but we continue to believe the years, seeing the bottom of the recession invest in Europe. Asia Pacific orders declined modestly after growing in the second quarter, suggesting it may be premature to conclude we're emerging out of the demand low, we have been experiencing over the past two years. Our Designtex growth strategies continue to gain traction and PolyVision remain solid. Turning to the fourth quarter, we expect to report organic revenue growth of 7% to 10%, compared to the prior year, which included an extra week of shipments across all of our segments, totaling approximately $54 million. Sequentially, the fourth quarter revenue estimate represents an organic decline of between 2% and 5% consistent with typical seasonality. We expect approximately $7 million of disruption and inefficiencies in the fourth quarter associated with the changes in our manufacturing footprint in EMEA. As a result of these factors, we expect to report fourth-quarter earnings within a range of $0.16 to $0.20 per share, including restructuring costs of approximately $0.03 per share, which translates to an adjusted earnings range of $0.19 to $0.23 per share. From there we will turn it over for questions.
Operator: [Operator Instructions] Our first question comes from Budd Bugatch with Raymond James. Your line is now open.
Budd Bugatch: Good morning, Jim, Dave, Raj, Mark and Terry. Happy holidays to everybody.
Jim Keane: You too.
Dave Sylvester: Same to you.
Budd Bugatch: Just help me, I know the 7% to 10% is the consolidated organic growth in the fourth quarter and you’ve given us a lot of detail in terms of some of the backlogs and color inside of the segments. But maybe you can help us with the organic growth in the different segments, at least as you expect it and some fleshing on that on the fourth quarter?
Dave Sylvester: Well, typically Budd, we’ve stayed away from given a lot of color on the specific segments and kept our guidance at the Inc. level. But I think you can imagine that certainly the Americas are going to have to grow for us to hit 7% to 10% in an Inc. basis and with that backlog going into the quarter at 8% over last year, I think it’s safe to assume that we are -- our growth is going to be led by the Americas. Beyond that, I think I'll hold back on any further comments.
Budd Bugatch: Well, I mean, I’m a bit confused about EMEA just because you’ve got the large government project to deliver in the fourth quarter and yet the backlog is down year-over-year. Maybe asking the question this way, do you think you are going to have positive organic growth in EMEA in Q4?
Dave Sylvester: Yes.
Budd Bugatch: Okay. Well, thank you very much. I’ll let others answer the questions. I’ll adhere to the two question rule.
Dave Sylvester: Okay.
Operator: Our next question comes from Todd Schwartzman with Sidoti. Your line is now open.
Todd Schwartzman: Hi. Good morning, everyone. Question on the widespread health of the verticals, you had mentioned nine different vertical markets received orders of at least $25 million in the quarter. Is that on a global basis?
Dave Sylvester: Americas only.
Todd Schwartzman: Okay. So within the Americas, Dave, can you kind of just give us a frame of reference that that nine is versus what a year-ago, and versus what sequentially?
Dave Sylvester: Last quarter, I think we commended on 8 or 9 of the 10 verticals were above $20 million in orders. What we have is, we have 10 primary metrical markets that we track and then we have a number of other vertical markets that we don't track as closely. You can imagine the 10 are our largest. But the -- it's been fairly broad-based in the last few quarters.
Todd Schwartzman: Okay. Can the -- also the number of customers that requested the later than expected delivery, can you just put some numbers to that?
Dave Sylvester: Yes, I’ll let Terry make some comments on that. He has done a lot of analysis. I won't steal all of his thunder, but I will remark on the fact that we had some federal government orders that had some quite long request for shipment dates. In fact, I think there were 90 days out. Terry, is that right?
Terry Lenhardt: Yes.
Dave Sylvester: And that the total of those orders was not quite $10 million, but that was kind of one of the drivers. I’ll let Terry fill you on some of the others.
Terry Lenhardt: So your question is about specifically pushouts or the extended requested deliver dates?
Todd Schwartzman: The number of customers requesting the extended delivery dates.
Terry Lenhardt: Okay. So, on pushouts, two things we track: pushouts and extended delivery dates. Pushouts typically happen at the end of a period where a customer might call and might not quite be ready for delivery for any number of reasons. They were 10 at the end of the third quarter with over a quarter million dollars; they’ve asked to push out. That typically is a push out of one or two or three weeks. When you look at like adding -- asking for extended delivery dates, customers just ask for delivery date. They don’t ask for to put in an extended date. So there is really nothing to track as far as number of customers asking for extended dates. What we did was we went back and actually looked and analyzed our requested delivery day trend over the last four years. Did it by quarter, looked at when an average order came in and when would that ship out. We found beginning of the recovery that there was really punched in week four to six, and then there was a tail from there on out, as you would expect. As depending on the customer needs they might need in 6 weeks or 10 or 12, but on average, the sweet spot was four to six. What we saw is projects became a bigger part of the business, that sweet spot moved out a bit and that’s what we’ve been using for forecasting and there is different seasonality, so we really analyze by quarter. What we saw little bit in the second quarter, but more in a third is that pattern that we’ve been forecasting almost further out. And as Dave said, I think really point to is the greater than 90 days were that amount really doubled led by a federal government and six other customers that were just one-off kind of reasons. The rest of it -- its really we can’t identify exactly why, but I attribute it to a larger number of mid-sized business projects as a percentage of our sales went up by two points in the second quarter and typically projects have longer lead times.
Todd Schwartzman: Okay, that helps. Thanks. And lastly, fiscal ’16, if you could maybe give us a sense on how you’re thinking about CapEx, specifically whether we should expect to see any significant difference from that $90 million to $100 million?
Dave Sylvester: Well, we’ve commented previously that the $90 million to $100 million that we’ve experienced this year was impacted by the new plant in the Czech Republic in the neighborhood of mark $25 million.
Terry Lenhardt: $25 this year.
Dave Sylvester: So our normalized run rate is kind of back in the $70 million range. So I think as the starting point that’s what you should count on for the next year. But we’re in the process of evaluating the replacement of one of our aircraft, which if we were to do that could add maybe $20 million to $25 million to the baseline for next year, but then once we sell the replacement aircraft we would have fully $20 million to $25 million coming in, in proceeds from the aircraft. Whether or not the acquisition and the sale happens in the exact same year is always a question.
Todd Schwartzman: And when might you have some clarity on the plane?
Dave Sylvester: We will give better guidance on CapEx next quarter.
Todd Schwartzman: Great. Thanks a lot.
Dave Sylvester: Okay.
Operator: Our next question comes from Josh Borstein with Longbow Research. Your line is now open.
Josh Borstein: Hi. Good morning, everyone. Thanks for taking my questions. You had mentioned that project business was comprised of many more small and medium-sized projects, less dependent on a very few large projects. What do you think is driving the increase in that small to medium-size business activity?
Dave Sylvester: Well, I mean, or speculation as we said last quarter, is that we believe it could be a sign of the recovery strengthening as we start to see this as coming in a broader base. We said that last quarter, when we said that’s the first time we’ve really seen it in that part of the incoming. So we said let’s give it 90 days. What we gave it 90 days and it happened again. So I want to say let’s give it another 90 days, but two quarters feels pretty good and we’ve heard from some of our competitors on their calls making similar comments about feeling this expansion of small to medium-size business driving their order [technical difficulty]. But we consider the positive sign.
Josh Borstein: Okay. And historically when you’ve seen a broadening of the mix of project sizes, has that in the past been a bullish indicator for an improving economy?
Dave Sylvester: You know Josh, every recovery feels like its been different in the past. If you go back to previous recoveries, we’d see continuing business come back first and the most significant and then project pick up. This recovery has been led by project business coming back first, large projects first and now small to medium-size projects, so we really can’t draw any historical correlation.
Josh Borstein: Okay. And what defines a small project for you guys and what defines a medium-size project for you guys?
Jim Keane: Yes, if you look at -- the thing about medium-size as call it 250,000 to 3 million. But really that can go up for us to four or five. What we’re not seeing this year large number that’s greater than $7 million or $8 million kind of projects. We are seeing a more in a sweet spot of $1 million to $3 million.
Josh Borstein: Okay.
Dave Sylvester: Last year in the third quarter alone I think orders reflected a better than $5 million project in Germany, which I referenced in my comments. We also [technical difficulty] couple of very large customers order a lot of business under continuing agreements that was well north of $5 million. So just in the third quarter alone, off the top of my memory, I can recall three different customers that were north of $5 million in the third quarter. And this quarter, I don’t know that I can recall any. It might have been one.
Josh Borstein: Okay. And so -- and a small project just constitutes anything less than $250,000?
Jim Keane: Yes, generally. It's important to note that they maybe going to a big customer. You don’t necessarily equate the size of the project to the size of the customer. So we’ve got a lot of $1 million to $3 million going to the Fortune 1000 kind of clients.
Dave Sylvester: But when I say small to medium-size, we’re talking about $2.50 million to $3 million-ish.
Josh Borstein: Okay. Thank you. And just given that kind of broadening of the project size and maybe that being a bullish indicator, looking at BIFMA then recently taking down their 2015 forecast -- shipment forecast of 4%, do you find that a reasonable number at this time based on what you’re seeing entering 2015?
Dave Sylvester: I'll give you more reaction next quarter, Josh, when we give broader color on what we see for the next fiscal year. But I'll say what we have said for the last several quarters that we continue to believe that the industry is going to expand in the coming quarters, including next year. And we’re going to continue to target growing faster than the market. But I’ll give you a more color next quarter, which might help you hone in on range of percentages.
Terry Lenhardt: Now I'll just add we’re also along with everybody else very pleased to see the GDP data and the jobs creation data that was released this week. The jobs creation data in particular has had a good correlation with our business, so that was a good sign.
Josh Borstein: Okay, thanks. That’s helpful. And then just on the raw material costs where you -- [technical difficulty] I’m sorry, can you hear me?
Dave Sylvester: Yes.
Jim Keane: Yes.
Josh Borstein: Okay. I heard a buzzing here. On the raw material costs and where you think they’re headed particularly for steel and for resin?
Dave Sylvester: Well, I'm not going to forecast inflation, because it's not my expertise, but I'll tell you in the quarter we did have inflation. It was less than we expected, which was influenced by steel prices and other commodities, but go forward I will stop short of projecting any kind of specific trend.
Jim Keane: Going the other way you have aluminum which has seen a significant increase over the last several months due to global demand. So you have some commodities going up and some commodities going down.
Dave Sylvester: We know we will have wage growth and growth in healthcare costs as well. How that all nets out is what I’m stopping short of trying to predict.
Josh Borstein: Okay. So an increase in wage growth; some health cost; some aluminum you mentioned. I’m sure freight year-over-year has gone up. But did you mentioned steel is also up year-over-year?
Jim Keane: I don’t have that data right in front of me. We track with the CRU monitor. So whatever that’s trending we’ve a 90 day lag. I just don’t remember the data specifically.
Josh Borstein: Okay.
Dave Sylvester: Wasn’t a big part of the story.
Jim Keane: A lot depends on the endpoints you pick too on steel prices, but it hasn’t been dramatic.
Josh Borstein: Okay, all right. And any price increases, any announcements in the offing for next year?
Dave Sylvester: The last price increase that we announced was in April of 2014 and we publish that to our dealers and customers in January.
Josh Borstein: Okay. And can you talk of just a little bit about capacity utilization rates in the Americas right now? Any CapEx plans that you might be contemplating?
Dave Sylvester: Well, I will connect those two Josh. I assume you’re asking that if we continue to grow what we’ve to add capacity and …
Josh Borstein: Exactly.
Dave Sylvester: The answer to that is, we don't believe so. We do monitor pinch points quite closely on various product lines and some of our assembly operations or component part production or some of the suppliers. And where we may have to make investments would be in tooling and maybe a piece of equipment here and there, but nothing significant that we would -- we can imagine for the foreseeable.
Josh Borstein4: Okay, all right. And just one more for me, could you talk a little bit about the profitability in EMEA? It was better than I expected. What might we expect in terms of profitability for that segment going forward?
Dave Sylvester: Well, I think they’re going to continue to be plagued by disruption and inefficiencies, which we give a lot of color on in our webcast slides and describe what that is, including labor premiums and redundancy and overhead in labor costs et cetera. They're going to be plagued by that at least through the first half of the year and maybe a little bit even into the third quarter. And we'll start to see savings as we move production line by line in early next fiscal year, but we won't be entirely out of the two facilities until at least August, maybe even into early in the third quarter as well. So what we’ve been talking about internally is that the first half of the year is likely to continue to show losses. If for no other reason, the summer quarter will show losses because of August. You know that history of vacations in Western Europe. And then in the back half of the year , which is typically their strongest seasonal part of the year with -- if we can get the disruption behind us and start to have the savings come in and the top line hangs on in this kind of flat to up category that we’ve been talking about in the last few quarters. Then we would like to think that they should be making little bit of money in the back half of the year.
Josh Borstein: Great. I appreciate all the color. Thanks much and happy holidays to you.
Dave Sylvester: You too Josh.
Jim Keane: Okay, thanks.
Operator: We have a follow-up question from the line of Budd Bugatch with Raymond James. Your line is now open. Please go ahead.
Budd Bugatch: Just a couple of nitty questions. I notice in the guidance for the impact of the extra week it was a difference I think between that number and the number you gave last year for the impact of the 14th week. Can you hopefully explain that?
Dave Sylvester: Yes, it has to do with EMEA. EMEA’s fiscal quarter end ends in the last day of the fiscal year, whereas the rest of the business ends in the last Friday of February. So the rest of the business -- all the businesses had 14 weeks. I’m sorry, yes, 14 weeks in the fourth quarter of last year, but in the previous year EMEA had one day less than 14 weeks. So year-over-year last year EMEA only had an extra day, so we didn’t consider that in the calculation. Whereas this year, it flips back to 13 weeks, so they had an extra week last year compared to this year, if you follow that.
Budd Bugatch: Partially, I think. It’s not trivial, okay?
Dave Sylvester: When we’re together I can draw a picture and it might help, but it has to do with EMEA and their fiscal year-end timing.
Budd Bugatch: So that’s the difference, it’s just in EMEA, because there was no impact on EMEA last year and there is impact this year?
Dave Sylvester: Yes, right.
Budd Bugatch: Okay. And finally, just another nitty question, you -- I think, tell us we’re going to have about $8 million of restructuring cost pretax and $0.03 after-tax. And when I do the calculation at least on the diluted shares outstanding at the end of the third quarter, I get $0.04. So just help me what -- and I use a lower tax rate because I think you would do that, but tell me what I'm doing wrong, or how do I get there?
Dave Sylvester: I have to pull up the detail and look. Can we follow-up with you on that?
Budd Bugatch: Sure, absolutely. That would be fine.
Dave Sylvester: Okay.
Budd Bugatch: All right, thank you very much. Again, happy holidays.
Dave Sylvester: Thanks, Budd. Same to you.
Jim Keane: Thank you, Budd. Same to you.
Operator: [Operator Instructions] Our next question comes from Peter van Roden with Spitfire Capital. Your line is open.
Peter van Roden: Hey, guys.
Jim Keane: Hi, Peter.
Dave Sylvester: Hi.
Peter van Roden: Just to start, what was revenue growth in the Americas ex the pushout and the deliveries that were asked to be extended?
Dave Sylvester: I don’t know that we’ve quantified that specifically. But I think it would be close to our expectations, which were modest -- was modest growth.
Peter van Roden: Okay. And then, I guess as a follow-up to that, if you look at what Miller said last week, they were up 8% organically in North America. The BIFMA shipments are up 10% through October, for September and October. You guys grew kind of modestly. What is the difference between you guys seeing modest growth and them in the mid-single digits to low double digits? Where is that growth difference?
Dave Sylvester: I don’t work for them. So I don’t have as much knowledge about their business as I do about ours. So it’s really hard to make comparisons. But I would say quarter-to-quarter comparisons get a little bit challenged. One thought is that I know that they have a large project that they won last year, that they maybe shipping today, which could be driving their revenue growth rate up. I don’t recall what their guidance was for the next quarter. But our guidance is 7% to 10% organic growth, a piece of that’s certainly being driven by the Americas. So -- and I’d also say that we’ve been consistently outpacing industry growth for the last several quarters, not every quarter, but certainly 10 out of 12 let’s say. So I don’t really think of one quarter comparison versus a competitor is indicative of any kind of trend.
Peter van Roden: Yes. And I was also trying to reference the industry data just as sort of another data point. That being up 10%.
Dave Sylvester: No, November is not out yet, but if we look at trailing three months, trailing 12 months, fiscal year or fiscal year-to-date or calendar year-to-date, our order patterns in the U.S are outpacing the industry on all four of those comparisons.
Jim Keane: It’s important to note too that BIFMA tracks U.S shipments of certain product, our sales in the Americas would include Latin and South America would include Canada and some of their products aren’t in BIFMA, so it’s tough to do a direct comparison sometimes.
Peter van Roden: Got it. Okay. Thanks, guys.
Jim Keane: Yep.
Operator: I'm showing no further questions at this time. I'd like to turn the call back to Jim Keane, CEO for closing remarks.
Jim Keane: Thank you. And I will just close by wishing all of you a Happy and relaxing holiday season. Thank you for taking the time to learn about our Company this year. And we look forward to continuing our conversations with you in 2015. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This thus conclude today’s program. You may all disconnect. Everyone have a great day.